Operator: Good morning, my name is Audrey and I will be your conference operator today. At this time, I would like to welcome everyone to the Murphy USA First Quarter 2022 Earnings Conference Call. Today's conference is being recorded. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator instructions] Thank you. And now I would like to turn the conference over to Christian Pikul, Vice President of Investor Relations. Please go ahead.
Christian Pikul: Hey, thanks, Audrey. Good morning, everyone. Thanks for joining us today. With me, as usual, are Andrew Clyde, President and Chief Executive Officer; Mindy West, Executive Vice President and Chief Financial Officer; and Donnie Smith, Vice President and Controller. After some opening comments from Andrew, Mindy will give us some brief overview of the financial results and then we'll open up the call to Q&A. Please keep in mind that some of the comments made during this call, including the Q&A portion will be considered forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. As such, no assurances can be given that these events will occur or that the projections will be attained. A variety of factors exist that may cause actual results to differ. For further discussion of risk factors, please see the latest Murphy USA Forms 10-K, 10-Q, 8-K, and other recent SEC filings. Murphy USA takes no duty to publicly update or revise any forward-looking statements. During today's call, we may also provide certain performance measures that do not conform to Generally Accepted Accounting Principles or GAAP. We have provided schedules to reconcile these non-GAAP measures with the reported results on a GAAP basis as part of our earnings press release, which can be found in the Investors section of our website. With that, I'll turn the call over to Andrew.
Andrew Clyde: Thank you, Christian. Good morning, and welcome to everyone joining us today. This is one of the busiest weeks of the year here at Murphy USA as we report earnings, hold our annual general meeting of shareholders and meet with our board of directors. And looking back over the most recent quarter and last year, we certainly have a lot to be proud of in terms of our results in share price performance, but just as importantly, how we went about achieving those results. And we have just as much to be excited about in terms of our future potential given the enduring advantage of our low cost business model, the loyal engagement of our growing customer base, and the incredible spirit of our store associates in the field and home office staff and support them. As I was reflecting over the weekend on my letter to shareholders from this year's annual report, it struck me that of all the commitments to our stakeholders, our commitment to provide affordable transportation fuel and convenience products to our customers is becoming more and more relevant with each passing week and month. We continue to learn more and more about our customers and their needs. And by analyzing the behavior of around 100,000 Murphy drive rewards customers who have shopped with us each month since 2019, we are learning a lot about how they are navigating the current environment. First, their spend with us is rising significantly as fuel prices are up over $1 a gallon, but their consumption remains relatively stable as fewer gallons per trip are made up by increased trip frequency. As such, we represent an increasing percentage of their household income, which tells us that their purchases from Murphy USA are not discretionary. They must get to work, drive their kids to school and get to the store, as most of them do not have the luxury to work remotely and shop online. Second, the extra trip is generating incremental merchandise sales, particularly in the tobacco category, where we are providing significant value relative to the competition. Third, as we reinvest margin into relatively lower prices at the pump, and with our tailored promotions for our consumer packaged goods, we're also gaining new customers who are seeking greater value as they make the choice to switch brands before choosing to drive fewer miles or consumed less of the products we sell. As a result of increased fuel volume and traffic merchandise sales and margins from attach categories continue to grow. The benefit of being more affordable and increasingly relevant to consumers is that we are gaining share profitably for both established and emerging categories. This holds true not just for our Murphy branded stores but also for the QuickChek brand given their compelling price to value offers in food and beverage, convenience items and low price motor fuel. In short, our affordable customer value proposition is resonating in the current inflationary and high fuel price environment. Supporting our value proposition is our low cost business model which not only continues to demonstrate its relative advantage in the face of macro challenges all retailers are facing, but continues to further evolve through the leadership and initiative of our staff. While we continue to see a smaller than historical store applicant pool, we're keeping up with the turnover inherent to a business like ours, while taking additional steps to retain staff and fill vacancies through special incentives in recruiting marketing. The team is doing a great job managing merchandise challenges by resetting planograms and introducing new products and substitutes to keep the shelves stocked. In addition, Cormark did a great job navigating supply chain challenges and helping to keep our stores well stocked, especially around featured products for impactful promotions we successfully executed during the quarter. In addition, the acceleration of the CD4 implementation at Murphy, a reverse synergy where QuickChek has a more advanced capability is on track to generate over $2 million in additional contribution this year by faster identification and resolution of out of stock or mispriced products. Early wins from our food and beverage strategy are improving sales and contribution while streamlining labor and cost to serve both plants. Necessity is the mother of invention. And one of the ways our asset development teams keeping our weight and rebuild guidance intact is by finding ways to repurpose more and more equipment and components from existing stores before they are torn down as we navigate supply chain issues. The list goes on. But I think you get the point, we remain intent not only in preserving our competitive advantage, but growing it. As the senior leadership team, we are in the early stages of outlining the next wave of top and bottom line growth initiatives, similar to the campaigns we launched back in 2018, that transformed some of our critical capabilities, like the retail fields pricing excellence initiative, enhance the foundation of our business model, like our zero breakeven and employee value proposition initiatives. As we like to say at Murphy USA, we will never be complacent, and we have a great opportunity to build on our current momentum. As this virtuous cycle of winning with the customer with our EDLP offers delivered through our advantage business model by engaged employees and business partners continues. We're also able to invest in our other stakeholders. We recently kicked off the third year of our roundup campaign benefiting the Boys and Girls Club of America, which thanks to our engaged customers continues to make a positive impact in the communities we serve. During the quarter we also repurchased more than $150 million of our shares, while continuing to grow our dividend. Continuing our industry leading track record of total shareholder returns. The notion that when we win with our customers, all our stakeholders win is not new by any means. But the ongoing work over the past two to three years as part of our ESG reporting has placed an even greater focus on what really matters in the end to have a sustainable business like being more affordable and relevant to your customers. Taken together, the teams hard work and efforts generated strong first quarter results for Murphy USA. Importantly, a key element underpinning our earning strength namely a high structural fuel breakeven requirements for the industry remains in place as cost pressures continue, and fuel price volatility is increasing. This means smaller fuel retailers face an increasingly uncertain future and that risk is being partially offset through higher industry margins. In this environment, we were able to extend our discount to peers generating greater loyalty amongst our existing customers and attracting more price sensitive customers. As a result, we not only delivered strong year-over-year gallon growth for the quarter, but our per store fuel volumes in April 2022 were higher than the same period in 2019, providing further proof that we are not only taking share, but taking share profitably as we shift from COVID recovery to yet another new and different macro setting. All our volumes are higher. We know that the recovery and macro demand remains fragile and will be subject to natural and artificial fluctuations, as total fuel demand remains exposed to inflationary pressures coupled with emerging geopolitical risk and concerned about future recessionary pressure. Despite these risks, it is evident to us that our value proposition will continue to resonate with more and more value seeking customers further increasing our advantage in the marketplace and sustaining our ability to grow this advantage into the future, regardless of the macro environment we face. One particular element of the first quarter results that is more temporal and subject to movement of commodity prices is the outside contributions from our product supply plus rims performance, which added $10.7 per gallon to our all in margins. As we said consistently and repeatedly in the past, we expect PS&W plus and our end margins to average $0.02 to $0.03 over time. We've also noted that during periods of extreme price volatility, PS&W results will be skewed to the directional move and prices. Thus, Q1 results are consistent with a price environment that saw our ball prices move up over $0.90 during the quarter. In fact, if we back out the uncontrollable impact of this price change, for example, all the timing and inventory adjustments, we see about $2.7 per gallon of net contribution resulting from RIN sales partially offset by a loss we incur that is embedded in our internal [indiscernible] transfer price. Provide a little further context for these results, I would direct you to Q1 2020 results were our bond prices fell a little over $1 per gallon, and resulted in total PS&W contribution of negative $4.4 per gallon, or about $0.07, $0.08 below our stated long-term average. This should serve as yet another reminder that the product supply and RINs part of the business remains relatively stable over time. Absent price movements, as each of these volatile quarters delivered the underlying $0.02 to $0.03 per gallon we've told investors to expect. Now suppose the big unknown question at the moment is when and not if we see a significant fall off in commodity prices, where we typically see outside retail margins and typically achieve our greatest gallon growth. I'm now going to hand the call over to Mindy to briefly review the financial results and then we will wrap up and open the call to Q&A.
Mindy West: Thank you, Andrew, and good morning everyone. Revenue for the first quarter of 2022 was $5.1 billion compared to $3.5 billion in the year ago period. Average retail gasoline prices were $3.43 a gallon versus $2.37 per gallon on the first quarter of 2021. Adjusted earnings before interest, taxes, depreciation, and amortization or EBITDA was $277 million in the first quarter versus $154.8 million in 2021. Net income for the quarter was also higher than the previous year at $152.4 million versus $55.3 million in 2021. And the effective tax rate for the first quarter was 24%. Total debt on the balance sheet as of March 31, 2022 was approximately $1.8 billion, of which approximately $15 million is captured in current liabilities representing the 1% per annum amortization of the term loan, and the remainder a reduction in long-term lease obligations as they are paid through operating expense. Our $350 million revolving credit facility had a zero outstanding balance at quarter end, and is currently undrawn. These figures result in adjusted leverage ratio that we report to our lenders of approximately 1.9x. In cash and cash equivalents, totaled $356.4 million as of March 31, of about $100 million since year end. And with that, I will turn the call back over to Andrew.
Andrew Clyde: Great. Thanks, Mindy. I believe this quarter's results highlight that the advantages embedded in our model are increasing in many of the structural factors are unlikely to dissipate in the near future as smaller retailers in the sector face increased challenges. While we are certainly not immune to some of these factors, we believe our scale, business model, customer positioning and continuous improvement mindset better positions us to mitigate these pressures, thus growing our relative cost advantage. As a result, I remain highly confident in our ability to compete and win in this environment and continuing delivering best-in-class total shareholder returns in any environment we may face in the future. And with that operator, we can open up the lines for questions.
Operator: Thank you. [Operator Instructions] We'll take our first question from Ben Bienvenu with Stephens. I'm sorry, Ben, your line is open. You may have yourself muted. No response, we'll move next to John Royall at JPMorgan.
John Royall: Hey, good morning, guys. Thanks for taking my question. Can you hear me?
Andrew Clyde: Yes.
John Royall: Great, so just wanted to ask on inflationary pressures. Your station OpEx came in at the low end of the full-year guidance range for the quarter which I think is somewhat of an upside surprise at least in my thinking. So what are you seeing right now in the cost side? I guess after you strip out the impact of credit card fees, which I think are relatively well understood, what do you think that relative to the 1Q?
Andrew Clyde: I mean, we're not immune to the pressures that everyone's facing, we did make some of the step changes in labor last year, and I believe we got ourselves relatively well positioned, there's some additional changes we're making this year, but we started in a pretty good spot having digested a lot of those last years, supplies continues to be an area where we have increases in some price changes. Some of our maintenance providers are asking for diesel surcharges for example, and so there's just an ongoing set of things like that, that we and many others are facing. So as I said, we're not immune to it, but I think with our scale, having made some of the changes, having a compelling employee value proposition creates stability as well.
John Royall: Okay, thanks. That's helpful. And then in the past, in your history of public -- as a public company, I don't know if we've really had this happen, but I'm sure it has been your tenure with the company. In the past, when you guys have picked up market share in periods like this, where prices has caused people to trade the lower price retailers, have you been able to hold on to some of that share, when price goes back down? I know, you were sort of able to do that with the tobacco share that you gained during the COVID period, you kind of held on to it, even when we came out of it, have you seen similar impacts on the price trade there?
Andrew Clyde: Yes, so look, if you go back to 2007 and 2008, that's probably the best example it was before my time, but I did study that period deeply for Murphy USA, the company was gaining share significantly as crude prices were going up to $140. And then you had the period in 2009, where prices fell off very significantly. And look, the reality is when you get below $2, customers aren't as price sensitive. So there's some portion of that volume that you don't hold on to in a recessionary period where you see softer demand as we did, then, we probably had outsize gains up until July 31 of 2008. And so you definitely give some of that away when you have broader recessionary periods. I think the big difference that is in place today versus then is the structural breakeven requirement for the industry is a step level or two or three higher than it was then, we've seen the labor pressures, and we don't see those going away. Additional regulations looming, et cetera. Some of the market share around tobacco for example has gone away, I think the industry structure has also, we had some other spin offs as well. So, I think there's something about our higher prices that are going to benefit us, I think there's something about, a $2 a gallon fall off where people aren't going to be price sensitive. But I think the world is a different place than it was in 2008. I don't know if that's helpful. But I think structurally this environment sets up much better for us than for example, the 2009-2010 period on the other side of a big run up.
John Royall: Yes, pretty helpful. Thanks very much.
Operator: We'll go next to Bonnie Herzog at Goldman Sachs.
Bonnie Herzog: All right, thank you. Hi, Andrew.
Andrew Clyde: Good morning.
Bonnie Herzog: Good morning, I'd like to ask a little bit more about, some of the comments you were just making, because I think you touched on this on your prepared remarks when you mentioned the key question on everyone's minds is how sustainable are these incredibly elevated fuel margins? And I agree in terms of what you just call down in terms of this structural change that we're seeing, which should help. But when do you expect these margins sort of to revert a little bit back towards historical levels and then in the context of that, thinking about your guidance, you've called out this $0.21 per gallon, just certainly for modeling purposes only. But Q1 was clearly well above that. So, how comfortable are you with the ranges you laid out for the year given the strength you saw in Q1. So just to comment on your guidance as well would be helpful.
Andrew Clyde: Sure, as you said that not guidance is not guidance that was for modeling purposes. And I think the other thing we made very, very clear to analysts, investors is, it was for modeling for capital allocation purposes, right. And at that $0.21 model number, we could achieve our objectives around growth and meet minimum expectations for share repurchases. And we just simply said, Look, if there was more of that residual margin that we'd seen in the last couple of years, if it was delivered, we had a very clear line of sight to what we would do with that, and we would buy back more shares, right, which we did in the quarter, and we would continue to allocate capital in a similar manner. So, I think that's, we're comfortable living in a $0.21 environment, and we've got very clear line of sight, what we would do in a $0.25 environment. If you think about the residual margin that we've earned in the past, and the fact that we earned it again this quarter in the app yourself, well, what would you have to believe that continue earning it in the future, I think there's a few things we think about, I think in this quarter, we saw record absolute price increase, $0.90 a gallon, and you book in that to the Q1 of 2020 at a $1, you saw an equal and opposite effect there. And so, arguably, you would say the retail margin for us was probably understated in the quarter because it was a rising price environment. I think the second point I would make is, there was actually a lot of volatility up and down movements, within the quarter, and especially in the last month or so. And I think the teens, trying to describe, how much of the residual would you keep, there's almost what we would call sort of a risk premium that's worth a penny or two or three of that, whereby when prices run up, and then they fall sharply, and then they run up again, and fall sharply in a $0.10, or $0.15, or $0.20 range. I could imagine that a smaller retailer has to be thinking about, Okay, well, if prices fall, are they just going to rise again, within the league? And with the current geopolitical issues, we've had, the various bans or proposed ban, that's the kind of volatility we're seeing. So I think if you put yourself in the shoes of a weaker retailer, they would ask themselves, okay, what do I do in that environment? What that means for us, though, is that we can gain volume at a lower cost than perhaps in the past by putting some of that margins on the street. So we're going to continue to stay affordable, relevant with our everyday low price offer. And so I think you have both now, the structural change, you've got the greater volatility, you've got this sort of risk premium, or maybe you've got a different behavior there. I think as long as we're going to be in a high price, high cost volatile environment, it's not clear to me what would change. When that environment changes, that might be the environment where prices, commodity prices fall, and we know what happens in that type of environment. And so coming out on the other side of that, as I suggested to John, I think at least the structural challenges that we're seeing in the environment are likely to persist. And that's the big difference. From a consumer standpoint, this is a non-discretionary purchase. For them, I think our view is $5 is the new $4, as vehicles are more efficient, you've had inflation and wage growth, et cetera. And so we certainly haven't seen in our markets, that kind of demand destruction that we saw at $4 a gallon back in 2008. So I think this is the perfect setup for our business and business model and customer value proposition.
Bonnie Herzog: That's helpful, and as you can appreciate, it's very difficult to understand exactly what's going on because things have seemed to stay so elevated, and then maybe a little bit of a follow-up question as it relates to your fuel volume, as you reported gallons on a SSS basis, just looking at what you reported in the quarter. It seems to be below 2019 levels on net basis. So just curious to hear if you think gallons will ever return to what I'm asking is pre-COVID levels, and then just based on that, and then just thinking about in the context of the share gains that you're talking about, how that's translating in terms of maybe gallons, and if in fact, you're bringing in new fuel customers?
Andrew Clyde: Right, so for the quarter, you're absolutely right, we performed below 2019 and 2019 Q1 was a good quarter, April of 2022 is the first full month where we have performed above 2019 levels. And so you can look at the public Opus data, which I believe under represents demand from their survey, but it's still a good proxy and the other public peers, et cetera, I think you get a, you can reach the same conclusion that we are taking share and doing that profitably. So, we feel confident around that. I mean, I think this is where the Murphy Drive Rewards data is just so helpful when you've got a -- when you have your own 100,000 member panel data that you can look back, and you can see they've made purchases with us every single month across fuel, tobacco, and merchandise and see their behaviors and how they're navigating the current environment. We know from 100,000 consumer sample, that we're also gaining new customers, and we're continuing to see that in new participants and members in our Murphy Drive Rewards Program. And so this is not different from what the company saw in the higher rising price environment of 2007 or '08, it's no different than what other everyday low price retailers see in our sector, or another common goods sectors as well.
Bonnie Herzog: Okay, maybe one final question from me, if I may, because you just touched on something about April. So it sounds like gallons are better in April than they were back in April of '19. So they're accelerating. So that's interesting, in light of everything, so maybe you could share with us some of the month-to-month trends that you saw during Q1, and then little bit more color on what you're seeing in April, as it relates to especially, quite frankly, fuel margins. If gallons are picking up, what does that mean for fuel margins during the month of April? Thanks so much.
Andrew Clyde: Yes, we ongoing acceleration throughout the quarter, and look every month and a quarter, especially the first quarter where you've got winter storms, and various things impact the business, especially than when you're comping over similar quarters from prior-years, et cetera. But generally the trend is an acceleration. And we kind of crossed that four minute mile mark, if you will, and got about 2019 in April, and in seeing that, we're not seeing the degradation of the margin, because the pressures remain, the drive the structural breakeven requirement was that's the kind of the market margin, if you will, and because of some of the volatility, we're able to pretty efficiently grow the volume and get some share gains in the process.
Bonnie Herzog: All right. So trends are accelerating on a month-to-month basis so far this year, kind of what you're seeing in general?
Andrew Clyde: So far this year, correct.
Bonnie Herzog: Perfect, thanks so much.
Operator: Our next question comes from Bobby Griffin of Raymond James.
Andrew Clyde: Good morning, Bobby. Thanks for taking the questions. And congrats on other great quarter. Thanks, Bobby.
Bobby Griffin: Andrew, first question I want to talk on maybe the switch over to QuickChek. More high level mean, you guys crossed the one-year mark since the acquisition, just curious on your view of how the integration went in the first years, good areas that you like some areas that you maybe want to work on, and then kind of what are some of the big initiatives are from integration in year two?
Andrew Clyde: Sure, so look, I think one of the things that we loved about QuickChek were the people and the culture and everything that we thought we were joining up with, has been the case, I've been especially excited about the leadership there not only our new leader, Blake Segal, but the team on the ground there and how they've embraced change. It hasn't been without challenges and questions and we spend a lot of time on that. One of the beauties of being a public company you have an equity program at certain levels. And I think people all sudden realize when you have a business, and it performs, and you're part of a bigger company, that there's excitement and motivation around that, as well. So, knew we had a strong team and really thank and appreciate their engagement. Frankly, given all the changes that have taken place, I had a very proud history and paths and a lot of success. The food business, is really picking up nicely, we're seeing the morning day parts pick up from both a beverage and a breakfast sandwich standpoint. We've done some pretty in depth consumer work to understand where the brand strength is, what are some of the pillars that we're going to really amplify in our food and beverage strategy, but at the same time of also, not surprisingly, identified some low hanging fruit, some quick wins, and some more medium-term initiatives where we can create value there. So, I think the thing we like as a leadership team is an opportunity set, where we can make a good business better. And we think we have the opportunity to do that. And again, that relies on a strong team to be able to do that. So great brand in the market there. So I'll stop there. But I think those are two of the things we're most excited about with the integration.
Bobby Griffin: Yes. And that was a -- I guess, the second kind of two parts of the second part of this question. I mean, one is kind of what are what are some of the big, you know, moving blocks are working on this year or year two? And I guess two mean, you gave some great data on the music customer, and it's clearly a very defensive business you have there with Murphy's and perform extremely well. Tommy a quick take a little bit different mix. How has that customer responded to inflation, higher prices? Any difference between the two? I think, you know, you could maybe say some of their products are a little bit more discretionary than, than what Murphy's kind of mix of businesses, so any details there would be appreciated?
Andrew Clyde: Yes, look, I don't know about all of our quick tech customers. But I know, a good cup of coffee in the morning for me is not discretionary. And we're the go to for that. The same for, you know, the best rated Italian sub in New Jersey from a value standpoint. So I think one of the things as we really got to know the business is the customer is more like our customer than not, they just happen to buy more food and beverages at their stores. Our customers eat too, as we like to say, they just don't buy as much of it from us. So I think there's opportunities around food and beverage optimization, there's always many rationalization, there's price optimization, they only launch their loyalty program, right before COVID, right, and got into delivery. So, our team here built, the first of its kind, everyday low price loyalty program with Murphy drive awards. So turning that talent towards the opportunity, a quick check around digital loyalty and consumer insights creates a big opportunity. There's opportunities to optimize, we spent a lot of our efforts around cost management, it wasn't cost cutting, it was around optimizing. And so if you think about a QSR, like business, there going to be opportunities to optimize labor, labor laid supply chain, on top of pricing and promotion. So we think there's a great opportunity set to continue to make that business stronger, as well as the opportunity to take those advantages into new stores as we continue to grow that brand.
Bobby Griffin: Great, thank you. It's lacking for me. This was the first quarter we had all three months of the acquisition in there. So getting the seasonality right in the model was a little bit off last year. Because when you look at merchandise GDP, you guys left the year unchanged. How did the quarter come in versus kind of internal expectations in line? Was there any kind of moving parts have surprised you? And then, the seasonality I guess, implies a step up. But that's, just anything there for us to keep in mind on the modeling standpoint?
Andrew Clyde: Yes, so first of all, we did not have January in the numbers last year. We closed on January 29. So this is two months. So yes, I think one of the things you could look at as the unit margin this quarter is really due to two things, the mix improved. We had a lot of higher quality sales, especially around package beverage, and we'd like to look at those as kind of more attached to fuel so as we grew gallons, we got More of the attached sales package beverage being a big part of that. But there's also just ongoing innovation in packaged beverage. And we're taking full advantage of that. And then on the other side of the mix, we have lower lottery, that kind of comes and goes with jackpots. And frankly, a lot of the stimulus money we saw, went towards higher lottery sales as well. So as that gets cut off, you see a little bit of difference there. And we had less general merchandise, PPP this year than last year. So mix was a big part of the unit margin trends and saw, I'd like to thank some of that continues. We also had an exceptional promotion that grew the unit margin, in March. And so, some of that may not repeat exactly the same way. But I would say the trends continue to be strong and favorable for both brands as the businesses continue to recover from COVID and become more relevant in the current environment.
Bobby Griffin: Thanks, Andrew. I appreciate all the details. Best of luck here in 2Q.
Andrew Clyde: Great, thank you.
Operator: Again, we'll move next to Ben Bienvenu with Stevens.
Ben Bienvenu: Hey, thanks. Good morning. Apologies for missing the cue earlier. I want to ask about this, this idea of breakeven and kind of the dynamics in the first quarter. And I think, I think there's a recognition that margins have structurally gone up since pre COVID. And I think if we look at the last nine quarters, you've beaten on fuel in each of the last nine quarters since COVID, started. And you hear from our observation, one of the dynamics that's interesting in this quarter is it's the strongest PS&W plus Rin margin, I think on record that we can see, which would imply on the other side, that the retail margins are materially artificially suppressed as well. I know there was some volatility in the quarter. But when you think about the resilience of the business today, the positioning of the business today, I mean, the underlying earnings power of the business today, you're giving us periodic updates around guidance and at Investor conferences. But obviously, the breakeven is changing with each passing month as costs go up. Volume dynamics change. So how should we be thinking about where the equilibrium is, where the breakeven is? And how much of what you're seeing now is one-time versus not? I know, you've covered this. So just elaborating further would be helpful, I think?
Andrew Clyde: Yes, well, look, I think you're on your first observations are spot on, this was the single largest price increase we've ever seen in a quarter. And there's almost a, very high R squared regression, that then shows that that's the highest PS&W margin, because of the uncontrollable timing adjustments and bookending that and anchoring the regression on the other end is Q1 2020, which has just the perfect equal and opposite effect. And, of course, retail fuel margins, were especially strong in Q1 of 2020. So you're right, that the retail margins, probably a little bit understated. But if you put it all together, it's still a good representation of what we get. So what sets the earnings power for us. We're a price taker, but as an everyday low price retailer. We are going to be looking for opportunities to gain share, and do that profitably and responsibly to have the lowest price out there for our customers. And so we don't update every month, every quarter, sort of the breakeven dynamics for the industry. But if you think about the big drivers, for say that third quartile retailer, I mean, certainly it's going to start with their merchandise contribution. And did they recover their tobacco gains and losses or not that they lost from COVID. If their fuel gallons are down and still down, they haven't recovered all of the attached categories. If the food and beverage offer isn't as relevant and you've got more drive throughs and other delivery services, et cetera, maybe that part of the business. So I can imagine that the top-line is still impacted for a number of these players and they've had to pass through higher prices and merchandising, right, which creates this vicious cycle of -- I lose some volume, I lose some share, I got to raise prices. I'll take the penny profit and margin and it's a very vicious cycle, but it can go on for a while. Then you get to the cost side of the equation. And the same thing, right, I'm having to pay a little bit more to get the labor, I'm having to work a little bit harder as an owner operator. And my maintenance costs are a little bit higher. We've got great partners in our business, whether it's Cormark, whether it's our fuel transport partners, and we're able to manage our costs there, they're probably not able to maintain the same cost structure with their third-party providers, because they lack the scale. And so I'd imagine they're going to continue to see cost pressures and you divide it by lower gallons, I would imagine that they continue to see increases in their breakeven requirements. And that's before credit card fees, I mean, our credit card fees were up a penny and a half a gallon, this quarter versus prior years, it is a significant increase. That just kind of reflects the market power of Visa, MasterCard, and the credit card companies. And so we're not immune to that, but it really impacts the smaller players more significantly than us. So I just think all these pressures is continuing to compound. And so because of our scale, the cost advantage, et cetera, we're able to just reinvest part of our profit back and even lower relative prices across the categories to drive demand, and it creates more of a virtuous cycle for us, as I described in our prepared remarks.
Ben Bienvenu: Yes, that makes sense. Okay, great. My second question is about share repurchase. I know you don't typically talk about your intention or desire, when and where did buyback stock. But an interesting observation, I think is in each of the last several quarters, the stock has performed well. And at any given point in time, it looks like you've been buying the stock at lower prices than where the stock is finishing the quarter. And when thinking about why, or when you buy back stock relative to other opportunities, you have. I assume, it's a moving target in terms of the earnings power of that business and how it's evolving. And I'm curious, is some monitoring of the breakeven how you decide whether the fair price to buyback the stock. Because in this quarter, you might have seen that $180, a couple of quarters ago would have been a healthy price, and it's 30%, below where it is now. So when thinking about kind of a refreshed underwriting of your business and the repurchase program. How do you think about this? Can you help us think about how to think about it?
Andrew Clyde: Sure, so, we throw this chart in our investor deck every year for the last few years. And we talk about our total shareholder return and the movement of the share price, and one year, three year, five years since then basis, it leads our industry and it leads all the major industries. And I think our leadership team, and our board is really focused on long-term shareholder value. And when we show on the right hand side of that chart, what's the raise the bar formula to maintain the same compounded annual growth of our share price. We just lay out some simple parameters. What do you have to believe about the EBITDA? What do you have to believe about the multiple? And what you have to believe about the shares outstanding? And we go to conferences, and people tell us our long-term shareholders will be in a two to three years. Well, there's a five year chart right there. And if you think about the amount of stock we bought back every year, we would be the largest shareholder, each and every year based on our buyback, because we have a long-term view of a business, not a one year, two year, even three year view of the business. So it's really hard for us to sit here today and look out five years and not see a share price. That is not significantly higher than it is today. If you just use the simple formula of how much earnings is the business going to deliver, what's the shares outstanding? And what's the multiple being assigned? And look at we see a major market correction, you're going to see it show up at lower multiples across all the companies. Well, that will revert at some time, so our shares are just going to be cheaper in that environment. Our price rises and falls, right. And with the outbreak of geopolitical risk, we saw our prices within the last 60 days back below $180 a share. We're able to take advantage of those opportunities. So I think then it starts with a much longer-term view of the business. The sustainability of the business, the fact that we talk about affordability, we talk about engagement with our staff. We talk about being a low cost responsible retailer, those are the things that make us sustainable. And then that way we get we can be aligned with long-term investors, through our share buybacks. And so look we don't always get it right, when we do attend the five one and set parameters. And maybe there's some things we see out there that cause us to do more or do less in any given quarter. But I think the message that we try to deliver is over a period of time, this is our primary way of giving value back to shareholders is going to be balanced with our organic growth. The amount of organic growth is a function of the pipeline, and the opportunity set in front of us. And clearly, this year, is a little bit lower than what we ideally would wanted it to be this year. But when we balance those things out, and you put that organic growth into that EBITDA formula, again, we can't see a scenario five years out where the business isn't worth more, and a share price five years before that endpoint. And we just keep rolling that mindset forward into the future.
Ben Bienvenu: Okay, thanks very much. Best of luck.
Andrew Clyde: Thanks Ben.
Operator: And that does conclude our Q&A session. At this time. I'll turn the conference back over to Andrew for any concluding remarks.
Andrew Clyde: Great. Well, thanks for all the questions today from the analyst and the investors listening in. we're certainly excited about the quarter, but I think as we shared in the remarks, we remain just as excited about the future potential of our business. Thank you very much.
Operator: And that does conclude today's conference. Thank you for your participation. You may now disconnect.